María García-Legaz Ponce: Good afternoon, ladies and gentlemen, and welcome to Telefónica's conference call to discuss January, March 2012 results. I am María García-Legaz, Head of Investor Relations. Before proceeding, let me mention that this document contains financial information that has been prepared under International Financial Reporting Standards. These financial information is unaudited. This presentation may contain announcements that constitute forward-looking statements, which are not guarantees of future performance and involve risks and uncertainties, and that certain results may differ materially from those in the forward-looking statements as a result of various factors. We invite you to read the complete disclaimer included in the first page of the presentation, which you will find on our website. We encourage you to review our publicly available disclosure documents filed with the relevant securities and market regulators. If you don't have a copy of the relevant press release and the slides, please contact Telefónica's Investor Relations team in Madrid by dialing the following telephone number +34-91-482-8770. Now let me turn the call over to our Chief Financial and Corporate Development Officer, Mr. Angel Vila, who will begin this conference call.
Ángel Vilá Boix: Thank you, María. Good afternoon, ladies and gentlemen, and welcome to Telefónica's First Quarter Results Conference Call. It is my pleasure to chair this call. Today with me are the members of the executive committee, so during the question-and-answer session they would have the opportunity to answer the questions you may have. Progress year-to-date shows that we are delivering on our growth strategy, fully executing the priorities set for 2012. First, on the commercial side, we have had a very strong start for 2012, leveraging the new propositions launched across markets since second half of 2011. Growth in the quarter was underpinned by the expansion of our mobile base, especially on the mobile broadband space. Second, top line has recorded a significant improvement year-on-year, as increased commercial push is already flowing into revenue. In the middle of the crisis, we are back to positive growth rates, despite material drags from regulation in Spain. Mobile data sales continue to post very solid growth and will drive further top line growth acceleration along the year. Third, our businesses in Latin America have delivered an outstanding evolution in the first quarter, with sustainable pricing-related revenue expansion. To highlight, Brazil already accounts for about 1/4 of our total revenues, similar to Spain. And despite having our headquarters in Europe, for the first time, over 50% of our OIBDA comes from Latin America. Fourth, we are setting the new paradigm in the sector, working in several areas including commercial approach, devices and networks that will show progress [ph] later on. Let me say that we continue to invest for future growth, with focused investments in mobile broadband and fiber, where the quantum leap in terms of coverage is particularly remarkable. Finally, on the financial front, we have been productive year-to-date, with 2012 maturities already being fully refinanced, more than 40% of 2013 maturities refinanced and the Colombian restructuring executed. And that we are taking further actions to progressively reduce the leverage ratio and to protect the rating. Please turn now to Slide #4 for a review of first quarter financial performance. Revenue reached over EUR 15.5 billion in the first quarter, up 0.5% year-on-year, despite the adverse conditions faced in most of our European markets. Excluding MTR cuts, revenue growth was 1.6%. Below the revenue line, both in 2011 and 2012, we have booked several material exceptional items. In particular, 2012 accounts include a noncash impact of the reduction in the value of our investments in Telecom Italia, with a negative effect in net income of EUR 637 million, while a year ago, we recorded a positive impact from the reduction in our stake in BT. So to better understand the underlying performance of the company, we will focus on the P&L excluding those nonrecurring effects. As such, underlying OIBDA was close to EUR 5.1 billion, down 7.4% year-on-year, while underlying net income totaled almost EUR 1.3 billion. CapEx to sales was 11%, higher than a year ago, though below our 2012 target due to different quarterly execution path along the year. Finally, let me highlight that the first quarter results are in line with our internal expectations and therefore, we would reiterate our 2012 guidance. Slide #5 shows the sustained ramp-up in accesses growth to 7% year-on-year. The very strong performance in mobile, particularly in broadband, underpin accesses expansion to over 309 million, in spite of the 2 million mobile disconnections in Spain in Q1. Mobile net adds reached 4.3 million in the first quarter, 1.5x higher than a year ago, on the back of higher gross adds, churn control and a twofold rise in net adds in Latin America. We again posted record smartphone sales, accounting for 81% of commercial activity in Europe in the first quarter of 2012. Top line reacceleration was driven by 2 key strategic pillars, Latin America and mobile data, as shown in Slide #6. Revenues in Latin America posted high-single digit growth, with a remarkable 580 basis points acceleration quarter-on-quarter. This performance more than offset the decrease in top line in Europe. On the mobile data space, the growing demand of smartphones and the strong traction of the new key data propositions led to a 55% year-on-year increase in our mobile broadband accesses, with the 17% mobile broadband penetration. As a result, data revenues rose 15% year-on-year to reach over 1/3 of mobile service revenues. Non-SMS revenues already account for 55% of total data sales as we leverage tier pricing to monetize the strong increase in data traffic, with traffic overall rapidly converging. Let me now stress the outstanding performance of our main growth engine, Latin America, on Slide 7. Our operations in the region keep posting growth acceleration on the back of a very strong commercial momentum, which have helped us to grow our access base by almost 11% in the first quarter, with a particularly robust performance in mobile. We have led the growth in the region, with 4.7 million net additions, posting a new record for the first quarter and more than doubling last year's figure. We also continued to lead the mobile broadband adoption in the region, with 2.3 million mobile broadband quarterly net adds. As a result and reflecting the steady expansion of mobile service revenue, up 13% year-on-year, top line growth ramped up to close to 10%, if we exclude the negative impact from regulation. Please note that mobile revenues already account for close to 70% of our sales in the region. On the fixed business, it is worth to highlight the increased contribution of fixed broadband and new services, already accounting for over 40% of these sales. Clearly, our unique portfolio in Latin America has created differentiator factor and a strong growth platform going forward. 48.5% of our revenues and over 50% of our OIBDA already come from this growing region. Please turn now to Slide #9 to analyze OIBDA margin evolution. OIBDA was primarily impacted by the rise in commercial costs, which were up close to 11% year-on-year in organic terms on the strong push in volumes from the second half of 2011 and the increased weight of smartphones on the mix. The higher focus on retention will drive churn reduction in the coming months, benefiting also top line performance and revenue share as we keep the most valuable customers on board. Additionally, our initiatives to promote progress in our markets and enhance mobile data monetization should lead to a more efficient commercial expenditure. And above that, we will benefit from easier comparison in the second half of the year. Secondly, network and systems costs rose on the enhanced coverage and capacity of our networks, especially in Latin America. Moreover, high inflation in some countries also drove higher growth. On the other hand, we are implementing cost-cutting initiatives across regions, with savings from the headcount reduction in Spain already flowing in the P&L and others linked to the recent redundancy problems in Brazil, Czech Republic and Ireland to come. We also continued to optimize capital allocation, selling nonstrategic towers in Brazil and in Spain, which were partially offset by the restructuring costs booked in the quarter. We will deliver improved profitability along the year, leveraging cost contention measures and the benefits of Telefónica Global Resources. Let me now focus on the performance of our businesses by regions, starting with a more detailed review of Latin America on Slide 9. Looking at revenue growth components by geographies. I'd like to highlight that we delivered top line growth acceleration across all our footprint. Even in Mexico, where we are facing operating challenges due to the drastic MTR cuts, we are gradually turning around the business, coming back to positive revenue growth rates. OIBDA grew close to 1%, with increased commercial growth due to higher activity volumes, driving the OIBDA margin erosion. Please notice that our sales were virtually offset by restructuring costs in the quarter. Turning to Slide #10 to review the performance of our Brazilian business. Mobile net additions reached a new record level in the first quarter, allowing Vivo to gain market share in a highly competitive mobile market across all segments. We continued focusing on the high-end segment, driven by strong smartphone uptake, with the smartphone base more than 4x higher than a year ago. At this point in time, new customer propositions further stimulated customer expansion in the prepaid segment. Fast accesses growth was compatible with best-in-class quality indexes as affected by the lowest levels of complaints in the industry across services. In parallel, Vivo is leading the sector transformation. At the end of March, Vivo has over 2,700 municipalities covered with 3G, which is more than the rest of our competitors over there, and allows Vivo to push strongly mobile broadband adoption. In parallel, Vivo is adopting a selective fiber deployment, a superior solution for fixed broadband, which allows faster speed than the solutions provided by our peers, and we are rapidly increasing the numbers of households connected. On Slide #11, mobile service revenues in Brazil kept growing at almost 15% year-on-year excluding MTRs, driving the contribution of the mobile business to over 60% of Vivo's revenue. It is worth to highlight that data revenues already account for 25% of mobile service revenue, reducing the company's exposure to further reductions in termination rates. In the fixed business, sales showed a marginal quarter-on-quarter improvement, excluding the impact of regulation. One clear evidence of the benefits of our integrated strategy is the strengthening of our position in the corporate segment, which represents 48% of our fixed revenues. In terms of profitability, increased commercial activity, higher weight of smartphones and restructuring costs led to a margin erosion in the quarter. Nevertheless, we continue to focus on generating further efficiencies and other savings from the 10% personnel reduction in place and the April rebranding are still to come. Synergies crystallization is clearly visible below the line, allowing for a sharp increase in free cash flow generation. Turning to Slide #12. I just want to highlight the widespread acceleration in the rest of our Latin America footprint, where commercial momentum since the second half of 2011 is delivering the results we expected. In the southern region, revenues are accelerating to reach double-digit growth, as we are maximizing the benefits stemming from our integrated assets, accelerating growth while transforming the operations. As an example, let me highlight that the agreement with the Colombian government to integrate the fixed mobile businesses opens new opportunities ahead of us. Turning to Slide #14. It is particularly noteworthy the turnaround in the Mexican operation, where we are starting to see the results of our commercial efforts flowing into revenue performance. The improvement in operational KPIs make us feel confident about the progressive consolidation of revenue growth acceleration along the year. The performance in Venezuela continues to be very strong, not only in terms of revenues but also in terms of benchmark margins. And finally, the evolution of the results in Central America also reflects strong revenue acceleration, and please let me remind you that OIBDA is reflecting disruptive [ph] impact from the recent launch of operations in Costa Rica. Let me now review our performance in Europe starting on Slide #14. Telefónica Europe continued executing its strategy to regain momentum in key markets and to increase mobile broadband adoption among economic headwinds and strong competition. The success of our enhanced commercial propositions launched from the second half of 2011 and our increased focus on retention pushed handset upgrades up 16% year-on-year. Additionally, mobile broadband customers posted a solid growth of 27%, which includes the 30% penetration over the total mobile accesses. The mobile broadband momentum and our strategy to monetize this growth engine clearly flowed in revenues, with non-SMS data revenues up 21% year-on-year. Nevertheless, optimization of usage in a challenging macro environment, lower price points and the ongoing regulation drag impacted mobile service revenue performance. On the efficiency front, I'd like to highlight that our focus on cost containment noncommercial expenses to decline 6% year-on-year, partially offsetting the significant increase in commercial costs, which resulted in a 33% OIBDA margin in the quarter. In parallel, we continue working to have more rational dynamics in our markets, with clear examples, in Germany, the successful My Handy model and in Spain, the acquisition subsidies removal. If we move to Spain on Page 15, I'd like to highlight that we are executing our plan to transform and turn around the business. The first step was to refresh our tariffs across services to become more competitive, stop the loss of high-value customers and drive churn reduction. New tariffs are getting a strong traction in the marketplace. 50% of our fixed broadband customers and 37% of our mobile customers in the consumer segment are already enjoying the new tariffs . Churn reduction is clearly visible, for example, in fixed broadband with a 30 basis points decline from Q1 2011 to April 2012. Moreover, early indications in mobile churn of those customers that have opted for a new mobile tariffs point out to a sharp reduction in churn. Regarding ARPU, early data on the new mobile tariffs shows a limited impact, with positive elasticity in the low-end segments and a slightly higher year-on-year erosion in the ARPU for the higher-end customers. Fixed broadband ARPU declined 9% year-on-year, as we actively migrated customers to the new tariffs to further reduce churn. The fast expansion of our fiber network coverage to 1.3 million households before, triple the homes start a year ago and the strong traction of the offering, with 177,000 houses already connected will drive further churn contention and will help us manage ARPU.In fact, in those areas where we have fiber results -- where we have fiber, results are very positive. The second step is implementation of a new industrial model to enhance market dynamics. And that is why we have gradually reduced mobile handset subsidies since February. Some of our competitors have already announced they will follow us, and therefore, you should expect a more rational market going forward. The results so far show a consistent reduction in mobile number portability churn. However, gross and net additions were penalized in the quarter, as we were the only player in the market lowering subsidies up to mid-April. We are setting the stage for a redefinition of the value chain in the mobile business to foster our return to profitable growth in the market. Finally, the third step is aimed at the increasing efficiency beyond commercial costs and delivering diverse experience to our customers, leveraging best-in-class networks. Top line performance continued to be impacted by the challenging trading environment with the predicted weak performance in the fixed business. Weaker performance in mobile service revenue was mainly driven by further usage optimization and lower prices under our new commercial policy on SMS premium. Additionally, increased commercial efforts were -- also impacted mobile service revenue as loyalty points are accounted as lower revenues. Nevertheless, strong focus on the cost side has allowed to contain OIBDA deterioration quarter-on-quarter despite increased top line pressure. The successful execution of the new redundancy program has led to savings of over EUR 55 million in the quarter, roughly EUR 4,500 employees have joined -- sorry, 404,000 employees have joined the first 2 tranches of the plan, and 3,149 have already left the company, with the remaining leaving before year-end. As a result of all our efficiency actions, OIBDA margin expanded sequentially. Turning to Slide #18. In the U.K., we are regaining commercial momentum in the highly competitive market. Contract mobile net adds were the highest since Q3 2010, underpinned by the strong volume upgrades around high-end smartphones and 8% year-on-year increase in gross adds. As such, we have improved our relative position versus other players, while also expanding our smartphone penetration to 41%. I would like to mention the recent launch of the new proposition On&on around tiered data studies to further reinforce our position on mobile broadband, which is centered to rate of revenue growth. This offer is an additional step to secure the level of market share, with the right commercial initiative on lower incremental costs. I would like to highlight that unlimited data propositions launched by certain competitors have not impacted our market share of gross adds, proving the success of our rational approach. Top line continued to be under pressure, mainly impacted by usage optimization and contract renewals at lower price points, though stabilizing year-on-year, growth trends as commercial efforts start flowing into revenue. Voice performance improved, while SMS trends stabilized, with data revenues increasing their weight to 48% of mobile service revenue. Regarding profitability, higher activity around retention and acquisition explains most of the OIBDA erosion. Please notice that activity in first quarter 2011 was particularly low, while we have also increased commercial efforts quarter-on-quarter. Going forward, efficiencies derived from improved contract churn and the lower volume of customers out of contract and the bulk of renewals that were done in the quarter should translate into a lower year-on-year increase in commercial expenses. In Germany, on Slide 19, our growth story continued. We recorded a strong set of results, gaining value market share, with the best-ever quarterly contract net adds at close to 300,000, on the back of consistent churn improvement and continued growth of gross adds. It is worth highlighting our partner distribution channels activity, as well as the strong business segment performance. Consequently, smartphone penetration increased 5 percentage points to 21%, with a 95% smartphone share of our total shipments. This, combined with successful monetization of data services and a better revenue mix, led to a sequential acceleration of mobile service revenue growth to 10.5% in the first quarter, excluding the negative impact from MTR cuts in Q4. OIBDA posted a robust double-digit annual growth as revenue growth flows through, which, coupled with higher efficiencies, led to a margin year-on-year improvement of 2.2 percentage points to 23.4%. Please turn to Slide #20 to review our operations in the Czech Republic. Commercial momentum continued in the mobile value segment, with a strong growth in the corporate base, up 6% year-on-year, underpinned by better contract churn and mobile broadband growth. In the fixed business, fixed broadband accesses continued to increase with VDSL already representing 19% of the base. Revenues showed a sequential improvement for the third quarter in a row, driven by the continuous improvement of the mobile segment, as well as increased contribution from Slovakia. In parallel, profitability remains strong, with a 40.5% margin showing a limited year-on-year erosion, leverage on ongoing efficiency agenda in the Czech Republic, sale of non-core assets and growing OIBDA in Slovakia despite higher commercial costs and different ICT projects phasing. Now to finalize the presentation, let's move to the financial side on Slide 21. We have been able to execute a well balanced financing exercise year-to-date, relying on both the capital markets, as well as the financial institutions, jointly with alternative funding sources, for an amount of up to EUR 7.5 billion, and we have been able to successfully do so under quite difficult market conditions. Since the refinancing allows us to say that 2012 has already been fully refinanced, taking into consideration our extension options on the preferred shares that mature in December. Moreover, given the level of financing completed, we could apply resources to cope with more than 40% of the maturities for next year, 2013. This productive management has also allowed to improve our healthy liquidity position, as we continue to increase our cash position, excluding Venezuela, to EUR 6.3 billion. Most significantly, we have again increased, by EUR 1.3 billion, our undrawn committed credit lines reaching EUR 11.4 billion. It is also worth highlighting that we have been able to extend EUR 1.5 billion bilateral lines maturities ranging from 2 to 4 years. Effective interest costs have increased year-on-year, though we continue to remain at the bottom part of our guidance. Turning to Slide 22. We can see how we are able to reduce our debt, thanks to our asset rationalization, mainly stemming from the agreement reached on Colombian restructuring and other assets disposals, such as Hispasat, BT, ZON, resulting in EUR 1.5 billion debt reduction. Nevertheless, this is offset by negative FX movements, nonrecurring financial expenses, commitments, concession and share repurchases. Going forward, we expect our free cash flow to enhance our financial flexibility, as the impact of higher payments versus accruals on seasonality and nonrecurrent FX recorded in the first quarter should not be extrapolated for the whole year. Working capital secular seasonality will revert to consumption seen in the first quarter of this year. Turning to Slide #23. We remain mindful on the importance of enhancing financial flexibility and our focus towards improving our leverage ratio by year-end. We are in portfolio optimization mode and looking for selective monetization of our assets across geographies, with EUR 1.6 billion already achieved. We expect in excess of additional EUR 1.5 billion proceeds from further asset sales already undergoing, including Atento, while we continue to actively analyze all the divestiture options to maximize the value of our portfolio. On top of that, we adapted shareholders' remuneration to a sustainable trend under current market conditions, providing us flexibility. To recap, we had a very solid commercial start for 2012. Our top line has recorded a significant improvement. We have posted an outstanding performance in Latin America. At the same time, we are setting an important value in the sector. Finally, we do reiterate our 2012 outlook, as we would deliver a progressive improvement along the year. Thank you very much for your attention. Now we are ready to take your questions.
Operator: [Operator Instructions] Our first question comes from Jesús Romero from Merrill Lynch.
Jesús Romero - BofA Merrill Lynch, Research Division: I just had a question on the Spanish mobile market. If you look at the number of customers you lost in Q1, I don't know if you could give us a detail of how many of those customers were lost in the market match. On the math side, you mentioned 2.5 million customers you lost on a yearly basis, that's approximately EUR 500 million of revenues. I wonder if you can give us a little detail on what is the customer loss in April and whether you're seeing any improvements in the month of May so far.
Ángel Vilá Boix: Jesus, out of those 2.5 million that you were mentioning, 2 million are coming from clean-up of the base. And out of that, 1.3 million is coming from prepay because we have applied a different criteria. We have passed from a balance criteria to an activity criteria because it was more realistic. And on the contract side, we have been cleaning up some customers that were not effectively using one of our services and we're providing us with a significant amount of churn. When we realized that, so we actively cleaned up. And that accounts for 2 million. The other 500,000 would have the real activity of the quarter. We focused, namely, on the trends of March, which we decided to take away the handset subsidy. The bulk of those are coming from that month. And as other operators have started to realign, this trend is significantly being improved in the month of April and in the first weeks of May. It is worth mentioning that different players are having different commercial approach. Some of them have decided -- namely Vodafone, have decided to eliminate subsidies as well. It looks like other operators, like Jazztel, are undergoing deliberation, as other entities is sustaining without subsidy, although we think that we certainly have lower incentive. So we are closely monitoring the portability figures to take forward productive performance with different players. And we'll have a different tactical reactions depending on the capital risk. But it is -- it was a hot quarter. We knew that. But the economical model in terms of getting churn down and retaining high-value added customers and putting the focus of our loyalty programs and subsidies effort on existing customers, which are the most valuable one, is starting to get some traction. And we are starting to have some churn indicators that looks like we're going to the right direction, so we could still -- so this is a little bit of the color that I can share with you.
Operator: Our next question comes from Mr. Achtmann from JPMorgan.
Torsten Achtmann - JP Morgan Chase & Co, Research Division: The first one is on Spanish broadband offer, so in mobile. The growth has been slowing to 2.5% after you've got 11% in the previous quarters. Is that a trend we have to assume will persist in the future as penetration has already reached 30%? And then on fiber, in all of your markets where you rolled out fiber, the success -- the takeup is quite successful. Is there a case that you should accelerate the fiber rollout to capture more of that broadband market?
Ángel Vilá Boix: I didn't get the first question. I think it was on managed service revenue, effects we are seeing on the broadband side. There are seeing major -- if that's the question, they are seeing major effects on the acceleration of the decline of mobile service revenue. The first one is that we have cut a commercial practice based on SMS premium programs with partners that were creating a significant amount of quality concerns and claims and significant amount of costs in IT and in terms of billing claims. We have cut -- now we've probably gotten much more selective on the SMS trading agreements and commercial understanding and promotions that we were doing with third parties. That explains basically 1/3 of that growth. Then you have the loyalty programs, which are accounted as negative revenues, so to say. They are negatives on revenues. Those loyalty programs are increased compared with the previous quarter because that takes part of the commercial strategy of blending. We're making sure that we retain the most valuable customers that we have, and therefore, we invest on the loyalty programs to make sure that they stay with us and will be accrued to us and those -- and therefore are flowing through to revenues. And then, there are only -- another part, which is a lower part of usage, the new tariffs. We have been effectively migrating actively, 3.3 million customers from out of totalization for residential contract customers of roughly 7-point-something million, which is 40% of the base that's already been migrated. And that creates another tension intentional for a lower ARPU, but again, with a significant improvement in churn. So the overall equation will be improving sequentially or around the year. So that is behind that growth on the mobile service revenue. Considering the fiber, on the fixed part of -- considering the fiber deployment, so far, results in terms of ARPU, churns, CSI and customer experience, basically, in terms of escalation time and the learning curve in terms of the average cost of -- subscriber acquisition costs in terms of the investment of time in the household are improving significantly. And that explains why the takeup ratio is improving so significantly . At the same time, we are trying to be very selective on the home part criteria in order to make sure that before we passed one neighbor or one city, we have commercial traction. And therefore, the takeup ratio is improved. And that had -- through very geographical approach has helped us to be much more efficient. We are pretty positive on the deployment and the results, the commercial results, and therefore, we'll keep with our current plan of significantly increasing our deployment and our speed of connections.
Operator: Our next question comes from Mr. Ierodiaconou from Citi.
Georgios Ierodiaconou - Citigroup Inc, Research Division: Two questions please. My first question is around the leap year effect and whether you can give us an idea of how much your revenue growth benefited in Q1. And perhaps if you could comment as to how you expect to get to the more than 1% growth for the whole year, given the stock that we have. And my second question, and I'm sure there may be more questions on KPN later, but I'm more interested about general principles. Given your commitment to the leverage target, can you rule out either changing the dividend policy or using your shares as currency in order to execute any strategic transactions?
Julio Linares Lopez: This is Julio Linares. I'll be having your first question, generally speaking at the group level, we didn't see -- of course, there was a positive effect, but we didn't see a relevant effect. Though there is a different behavior or market, in some of them, the impact is bigger than others. But overall, that is not a big impact at group level.
Ángel Vilá Boix: This is Angel Vila. Regarding the second question, first, with respect to KPN, we don't have any comments regarding that specific situation. We would only say that evidences the strong undervaluation of the European telco sector and the valuations of the strategic players are ready to attach to European telcos. With respect to the dividend, we are not envisaging any change to the dividend policy that we announced in December of last year.
Operator: The next question comes from Mr. Prota from Morgan Stanley.
Luis Prota - Morgan Stanley, Research Division: I have a couple of questions. First, on the U.K., you've been mentioning something in the presentation on this. But I would like you to elaborate a bit more on whether there's seasonality in spending in the first quarter that has brought forward costs and therefore, could drive better margins throughout the year and your view on whether such a high level of spending is worth on when revenues will turn around. That's my first question. And the second question is on the subsidies elimination in Spain. First thing, whether that was already included in your guidance or not and secondly, whether you are expecting a net positive impact on EBITDA from this year or the savings that you could get from subsidies will be fully offset by increase in subscriber retention cost and maybe also attention is turning into lower tariff from competitors.
Ángel Vilá Boix: Luis, I am taking the first one in the U.K. and more specifically, on the evolution of the margin in the first quarter. First message is that in the previous year -- in the first quarter of the previous year, we have almost no retention costs, as we have no expiration of -- almost no expiration of contracts with iPhone customers. And the bulk of those are pending namely in the fourth quarter of next year, first quarter of that year. That means that we want to preserve those high-valuable customers, which, by the way, I would like to stress that the customers' life value of the contract is higher in average than any other segment, so we want to preserve those. And that's why we have been investing heavily in retention costs in this first quarter of this year. Whether that's recurrent or not for the future, now it's focused on the seasonality, in fact that most of the customers were reaching the iPhone in the first waves of the iPhone. So therefore, the bulk of those we're already flowing through. But it will keep flowing through the year, probably at a much lower base in terms of that. Let me stress that fact that thanks to that effort, churn is best-in-class. So we do not only have the best customers in the U.K. market, but we have the lower churn customers, thanks to that effort, and we deeply think -- taking your question, is that worth the effort, as well as in Spain, which is actually, the answer is yes. We did everything, which is the right thing to do to create value and to preserve the most valuable customers. On top of that, there are other efforts that we have been doing in the first quarter in the U.K. We have been investing a little bit more in advertising that we'll be phasing out somehow during the year. So basically, the comparison is not fair because the first quarter of last year, we have almost no retention costs, and we have been having a significant effort in this front. With respect to the subsidies in Spain, was that included in the budget and how wonderful or not, the answer is yes, we -- it was designed that way. We knew that the first quarter was going to be very tough. We knew that it will take a while in order we may consider following that path on our investment competition in Spain. But we didn't think that the payback of that effort in terms of churn reduction is lower than a year. So we are positive in -- we are monitoring on a weekly basis churn evolution because France really has a subsidy strategy, which, by the way, we are not eliminating. We are just focusing this handset subsidy efforts on our existing customers. Thanks to the loyalty programs, and thanks to the new tariff refresh, we think that we might be able to get much better churn figures in the next month. And in fact, Cesar is starting to go into that direction. For us, it is key to monitor the portability so we make sure that, that is reflected in not heavy loss in customers. So very earlier stage. It was planned. It was designed that way. We think it is needed at a sector level, well, maybe in Spain with the current market circumstances. So we think this is the right direction, and we really want to -- we need to monitor that on a weekly basis, but we are really convinced this is the right direction.
Operator: The next question comes from Mr. Minerva from HSBC.
Luigi Minerva - HSBC, Research Division: Two questions please, the first one on Germany. Could you describe what you mean in your release by tiered data pricing driving growth in contract ARPU in Germany? Is this the way that you designed tariffs, which means that new customers are naturally taking the higher level or are, I should say, willing to pay more when they take new tariff? And secondly, on the CapEx in Latin America, can you maybe elaborate a bit on the allocation of capital?
Unknown Executive: Well, taking the question on the German market, on the German -- what do we mean by data -- tiered data pricing, it means that generally speaking, not just in Germany, we think that we can be competitive in the market without having an all you can eat data tariff. That means that if you have the right business intelligence, especially in terms of weighing [ph] your customers' database, knowing what are the normal user-intensive capacity in terms of speed of downloads, you can design the right tariff, including bundles for SMS and voice. That's what we have done in Germany. By the way, we have done exactly the same in the U.K. And that's why we think we can be competitive in the market. That requires [indiscernible] on the download necessities or the -- or requirements from your customers, and that's what we try to do. The message here is that we think you can be competitive in the market.without having an all you can eat data tariff, which, by the way, puts a significant pressure on your network. And then while we think that with the current cuts and maybe with the current information system that we're having by which we can prop up to our customer demand, if they want -- if they require extra data capacity, we have [indiscernible], I think that's the right strategy, and that's what we are trying to do.
Cesareo Alierta Izuel: Yes, this is Cesar Izuel. On CapEx, last time, there were very few surprises, actually. We've significantly increased the amounts spent on CapEx in Q1, although the seasonality effect makes all those quarterly comparisons difficult to draw conclusions from. Our priorities are well known. We want to cater to the data needs of the Latin Americans. And in order to do that, we will expand coverage. We'll participate in spectrum auctions, and we will try and provide the coverage and quality which is second to none. This is especially true in the case of Brazil, where on top of mobile coverage, we are also extending -- gradually maturing the fiber deployment, similar to one that Jose Maria was mentioning before on Spain. Other than that, there's no specific geographic allocation of capital. The project is proceeding as expected. And whether or not it is enough, I think the market will have to tell us in a year's time.
Operator: Our next question comes from Ms. Bienenstock, Financial Research (sic) [Sanford Bernstein].
Robin Bienenstock - Sanford C. Bernstein & Co., LLC., Research Division: Two questions, I guess, for Santiago. Just a question on Mexican minutes. I'm trying to get around those Mexican minutes and what's actually going on there. Their business is clearly turning around, your [indiscernible] minutes are now cheaper than your competitors'. And so -- but minutes are down usually. How much of that is about accounting? And presumably, minutes are actually up as you didn't take into account the accounting change in minutes to seconds. And then secondly, is there a risk about your Brazilian business given the premium prices with MTR cuts coming and a lot of prices likely to fall? Are you concerned at all about sort of premium price overhang in your Brazilian wireless business?
Santiago Fernandez Valbuena: Robin, I'm not sure I got well your second question, but let me tell you now sort of a little bit of the Mexican minutes. What's going on is a change in the shape and the form of the customer that we're attracting and the customers that we're leaving behind. That may have a confusing effect until the year lapses because of the different nature of a prepaid that come and the prepaid customers that go. Not much more than I can be explicit. And if you wouldn't mind going again through the second question where the sound was not very good, I would appreciate.
Robin Bienenstock - Sanford C. Bernstein & Co., LLC., Research Division: Yes, sure, no. The second question is that you're currently close at a premium in Brazilian wireless to peers. So there's no determination why cuts come and the lower wireless prices come. Are you concerned at all that you're going to have an price overhang and have to cut your prices substantially in Brazil on wireless?
Santiago Fernandez Valbuena: Okay, got you. Thank you for the -- for going back again. The reason we have the premium pricing in Brazil is twofold. First, we are much better exposed to the fast-growing and more valuable data traffic, and that explains partially why we have price premium. And second, we tend to cater in excess of our overall market share to the upper half of the market just because we have the better products, the better coverage and the better customers. So is that price premium going to converge? Well, the -- I think the jury's still out. We certainly have no signs. We can point to no signs of that being the case. You were modestly be correct about the market being tiered and segmented and there will be different habitats for our customers to live in. And to the extent that we continue providing a good service and the quality experience, I don't see why overall pricing should converge. The lower ranks of the latter, those occupied by aggressive pricing, entry-level prepaid might be different in that it is a much more structured market than that statement would suggest.
Operator: The next question comes from Mr. Javier [ph] from BNP Paribas.
Unknown Analyst: Just a question on Latin America. You mentioned that there's been a lot of increasing commercial expenses, and that's one reason why the margin diluted a bit. But when I look at, for instance, the press release of Vivo, and I look at, for instance, personnel cost, which are growing 80% year-on-year on an adjusted basis, it does seem that there's also a little bit of cost inflation. So maybe you should comment on that with regards to Brazil. But also, in other countries in the region, are you generally seeing from cost inflation? Second, going to Germany, you -- I mean, obviously, we're seeing probably one of your competitors getting a new shareholder with deep pockets. Does that change in any way the way you think about the strategic position in Germany and how well you're positioned?
Cesareo Alierta Izuel: This is Cesar again. On Brazilian cost increases, you're partially right that there is a bit of cost inflation going on in the region. There is no way denying it. But I don't think that's the main explanation why costs shot up in the first quarter. They are typically related to the expansion of the -- our customer base, which is, as I think we mentioned in the presentation, at record levels. Brazil added more customers in the first quarter than it has ever had. So the last areas of market capture are still going on, and that had an effect commercial expenditure. Also, I'd like to highlight the fact that because of the existence of data products and the higher cost -- the unit cost of smartphones, it is only natural that when you have a big increase, which is likely happening this year, in the adoption of these devices, you will have a unit cost increase that is not going to be permanent as smartphone adoption is increasing but is also to be doubling every year. So 2 components to that cost increase. One is a genuine cost inflation in some quarters, most of them, however, related to the strong customer growth. And partially related to unit cost increase as the customers turn away from feature phones into smartphones.
Ángel Vilá Boix: With respect to the situation that may have indirect implications on the German market, we would like to reiterate that at this stage, we would not want to make comments. We are in that specific situation.
Operator: The next question comes from Mr. Boddy from Goldman Sachs.
Timothy Boddy - Goldman Sachs Group Inc., Research Division: A couple of things that caught my -- on Page 23, towards the end of the presentation, you talk about opportunities under review for, I guess, after deleveraging. And I know you talk about portfolio management. I guess within a couple of situations recently where operators now are able to sell into private equity at significant premium to current trading multiples, is that something that you're thinking about? And can you give us a framework by which you decide what kind of assets are core and which ones you might like to selectively monetize? Secondly, I just wanted to ask a broader question about commercial costs. Is this now a sort of change in the attitude of the company, which is going to last for a while? So you're going to continue to invest at this high level in commercial costs, particularly in Latam, and then look to get better revenues as a way of improving growth and profitability? Or is this -- is it time bound? Is this a period you're investing for and then you'll see the margins recover as you reduce the competitive intensity?
Ángel Vilá Boix: Okay, Tim. This is Angel Vila taking your first question regarding Slide #23. As you have seen, even taking to account the foreclosing events related to Colombia restructuring and so on, we would still be outside or above the target leverage that we have expressed and committed to the market of 2.35. This has come from increased CapEx payouts, from some negative CapEx movements and some other effects which are explained on Slide #52, but we remain committed to this leverage ratio. We remain committed to preserve our rating. We remain committed to our shareholders remunerations. So clearly, we have boosted up our efforts with respect to activities or actions regarding debt reduction. We have already achieved EUR 1.6 billion. We have in progress potential transactions that will have in excess of EUR 1.5 billion. We do not want to provide specific numbers, but that's our estimate. And given the progress of those, it would be in excess of that. And then we're assessing a variety of potential actions that we're reviewing. And we are lucky in the sense that we have multiple options to -- on we can act. We can tap capital markets with a potential idea for some of our assets. And we are assessing the effectiveness of those. We are also analyzing which assets, if any, we could deem additionally to be in Oncor [ph]. And we can also use the lever of selectively monetizing stakes in some of our operations. So this is what we're working. We wanted to highlight it to point out that we remain committed to our leverage targets, our shareholder remuneration targets, and that we will continue to activate these actions, obviously, subject to market conditions.
Timothy Boddy - Goldman Sachs Group Inc., Research Division: Could you share any more just on the framework of your thinking on that? Is it about long-term market structure attractiveness? How are you thinking about making those decisions?
Ángel Vilá Boix: Those decisions are linked to, obviously, market attractiveness. We are not looking at expanding our portfolio in other operations. We are looking at options that can increase the value of operations that we have and obviously to the returns that we have employed in our operations.
Timothy Boddy - Goldman Sachs Group Inc., Research Division: Okay. And on the commercial cost?
Cesareo Alierta Izuel: Regarding your second question, I do saw from the last part of last year, I think we have a strong commercial push in most of our most reliable [ph] Markets. Because of that, you have seen a commercial cost increase very much related with our commercial activity that deliver very significant access growth. Regarding the rest of the year, though we are going to keep a high level of activity, we will see positive impact because of the subsidies cut in some countries, and we will see as well positive impact because the iPhone impact dilution along the year. In any case, we will manage this commercial cost very much in line with our revenue growth for the rest of the year.
Operator: The next question comes from Mr. Milner from Arete.
Will Milner - Arete Research Services LLP: I just wanted to come back to Spanish mobile. Service revenues fell 18% in the quarter. And I just want to understand, what was the service revenue trend before and after the change in subsidy policy? And then second question maybe relates to Brazil. I think your EBITDA fell in the quarter, adjusted for restructuring in tower sales. And just, I mean, thinking back to the large synergies that you anticipated at the time of the Vivo deal and obviously the good mobile growth that you're seeing, it seems quite disappointing. You mentioned some of the reasons: customer growth, smartphone take-up and cost inflation. But I wonder if you can just talk in a bit more detail about how and when sort of the EBITDA growth trend might start to improve from here.
Cesareo Alierta Izuel: Okay, taking your question about mobile service revenue in Spain excluding MTRs, the increase year-on-year is 16.2% compared with 12.3% in the previous quarter, in quarter -- in Q4 2011. And again, 3 major sources of that deviation. And none of them is strictly linked to the handset subsidy, so we have not been -- seen an acceleration of that because of the handset subsidy. The SMS premium that we have is much more selective, much more selective because it was causing unnecessarily a lot of past revenues that we were forced to correct in other quarters and claims and cost and IT and billing claims; the loyalty programs, which is the one that is somehow related to handset subsidies because we are increasing the handset subsidy activity in our existing customers because we're considered to have the best -- the most valuable customers and, therefore, we are increasing the loyalty efforts seconded by other savings that we have in other subsidies, handset subsidies, below revenues -- the revenue line; and the other one obviously derive from the effect of the migration to the new tariffs. Those are customers whose promotion were expiring or who have been or they're -- we have been actively migrating and, therefore, it has a lower ARPU. We have also there on that part a positive increase over this year of roughly 0.7% in the quarter. So the net of that is evolution. None of it is directly related to the subsidies except in the loyalty programs.
Santiago Fernandez Valbuena: Yes, this is Santiago. In terms of when or if Brazilian OIBDA margins will recover, you rightly pointed out that there are a number of one-off effects that are not going to be coming back into the remainder of the year with most of them related to personnel restructuring. I've also mentioned -- you mentioned cost inflation. I think it's fair to expect that despite the high temperature compared to the temperature in the market in Brazil, those trends will smooth out as the year progresses, the reasons being for -- the one-off nature of some of these movements. And also, a part of the savings that are going to come from the integration of our fixed and mobile businesses, which is already completed, will start expiring as the year progresses. We have no way of knowing how strong the market will continue pushing. What we have been able to record last year is a slight increment in our OIBDA margin -- I'm sorry, in our OIBDA market share. And irrespective of what [indiscernible] we're having, we would expect that to continue being the case this year. So I think that there are one-offs, very clear things. They're not going to come back in the coming quarters. So that should be an improvement in growth rates over, I think, last year. And then the fruits of the integration are, well, to be highly visible probably in the second half.
Operator: The next question comes from Mr. Funnell from Crédit Suisse.
Justin Funnell - Crédit Suisse AG, Research Division: Just follow-up questions please. The -- especially where you've got a very large gap between your level of SRC per unit and your SAC, it's quite unusual, I mean, when we look at the history of the industry. Maybe it's a temporary phase that you're going through. I know you're planning, hopefully, to try and lower your SRCs over time as well perhaps once you've locked customers into these new plans. And so we can look forward to seeing you later in the year in terms of margin improvement. Secondly, and this is more sort of question of principle rather than specifically about KPN, do you think, given your performance in Germany, that you need to be involved in German mobile consolidation?
Cesareo Alierta Izuel: Okay, taking your question, even though we feel -- well, I think that probably you are relying -- you are referring to the Spanish market mainly because it's the most attractive market.
Justin Funnell - Crédit Suisse AG, Research Division: Yes, sir, I understand.
Cesareo Alierta Izuel: Yes. So I would say that yes, we see that as a change of paradigm, which means that we knew that it's one of the first phase, which is -- was one of the tough because when you remove subsidies, you don't know what the other companies are going to do. But do you think that being the market leader, you will have some effect on the markets and you will try to redress the margin trends of the whole industry? So we think that the retention cost wasn't here for the handset subsidies or in the U.K. It's something that you need to have because we have very valuable customers. We -- again, when you do their -- at present value of the chain of revenues of the different customers, we have an outstanding value customer base that we need to retain. And therefore, subscriber acquisition cost of the existing customers increases. At the same time, you bet on the churn reduction because do you think that -- and on top of that, you apply these loyalty programs to improve our quality indexes. And if you put the right incentives in the distribution chain, you can drive that down to a much better churn to improve. Remember that at the same time, we have been totally refreshing the tariffs of the -- the entry levels are much lower than they were a year ago. And therefore, you will also be hit by the fact that the new ones [ph] are coming at a lower ARPU, but they are not churning. So the full effect, you need to have a few months to see if their churn is applying the control measures, the positive control measures. We think -- and we are measuring that since -- the last 7 months since we started with the -- with this strategy. And this early stage of month of churn indicators prove that we are going to the right direction. But we'll wait a few months to make sure that this is the case. If it wasn't that to be the case, the payback, or DFO, is less than one year.
Justin Funnell - Crédit Suisse AG, Research Division: And Germany consolidation, please?
Ángel Vilá Boix: Yes, this is Angel. With respect to the second question, we are very happy with our German asset, which is a core asset. It's an asset where we have invested substantially in the last years. The return on that investment is growing. The company's growing up its subscriber level, revenue level, OIBDA, OIBDA margin, operating cash flow. So we are very satisfied with our operation. And with respect to something -- nonorganic, on the [indiscernible] economic [indiscernible], that's where we're not going to make comments on this situation.
Operator: Our next question comes from Mr. Marsch from Berenberg.
Paul Marsch - Berenberg Bank, Research Division: I just wondered if you could quantify for us how much Spanish EBITDA benefited in the quarter from the actions that you took on handset subsidies? And secondly, would you be able to give us the actual change in Spanish mobile service revenues in March year-over-year?
Cesareo Alierta Izuel: Well, thanks for the question. But unfortunately, you're asking a very sensitive commercial information that we will not disclose. As what I have said before, things are going to the direction that we were planning. Early stage. We started in March. And that's why the figures of customers in March were affected because always followed back later. Some of -- all the others followed later. But unfortunately, I cannot be more specific because, as you might imagine, this is highly commercial, sensitive information.
Operator: Our next question comes from Mr. Khiroya from Deutsche Bank.
Keval Khiroya - Deutsche Bank AG, Research Division: Yes, two questions, if I can. So firstly, on Brazil. Your Brazilian sales came quite mixed with lots of KGB [ph] subs and some broadband additions. What expense [indiscernible]? And should we expect any improvements in the rates of fixed phones declines for the rest of the year? And second, on Spain, you reduced your commercial expense by 2% in Q1. So do you view this level of reduction as sustainable for the rest of '12?
Santiago Fernandez Valbuena: So this is Santiago again. Many thanks for the question. On Brazilian fixed, I think there are 2 opposing factors. One is that we continue having an erosion in both fixed lines and then single partner contribution at the same time that we have an increase and a reasonable growth on the broadband product, including fiber, which is also small in size but very promising development. So my expectation is that the contribution of fixed to Brazil despite the high-growth nature of the wireless will stabilize and turn positive throughout the year.
Cesareo Alierta Izuel: Taking your question on Spain, the commercial cost in the first quarter, I mean, remember that the subsidy thing is just in March. It's just 1 month out of the, well, 3 of the quarter. And you have all of the defects. I mean, for example, at the same time that we were removing subsidies, we were less active on TV campaigns and on commercial companies. And therefore, based on, well, some one-offs in terms of commercial efforts, that we are going to be deciding very practically if we need to renew or not. Having said that, I mean, including churn, as I was telling you, the data of the effort should be less in one year. And therefore, we are betting that the churn improvement will be flowing through our accounts and, therefore, we will be helping us to justify as well other commercial actions where -- in a much more practical manner. So the answer is yes, we wanted to be under -- into that direction. But again, too soon to say that the whole strategy is working, and we need to monitor that.
Operator: The next question comes from Mr. Lyall from UBS.
Nick Lyall - UBS Investment Bank, Research Division: Two questions, please. First, on Spanish mobile. Some pressure ports in distribution channels. You suggested you'd have to reintroduce subsidies and increase discounts quite heavily for customers porting from Orange. Could you confirm whether you've had to maybe change strategy a bit into April and maybe some of those savings, as Keval so suggested there might disappear? And then second, just trying to get on the German situation. You're emphasizing in the presentation a lot on the financial flexibility you've got. Could you just confirm that there are no time or liquidity constraint that restrict you from reacting to AMX's moves if you decide to?
Cesareo Alierta Izuel: Taking your question on the noise on the distribution chain and getting back to subsidies, the answer is that we are pretty firm on our strategy of trying to change the paradigm of the sector, enabling strength with the subsidy as a strategy and, therefore, devoting the bulk of our efforts to our existing customers and, therefore, trying to move away from incentivizing churn of our customers either from us or from the others. Having said that, practically, just not in subsidies, there are other action that we can take on there to make sure that in the portability field, we do not lose to the battle in a hard way or that we balance that situation. That doesn't have to be through subsidies. There are other actions that we can take. But again, we are very firm on this new handset strategy. We need to fight to see if the trend is going to the right direction. And again, we think it is. So we are not going to be -- we are going to be -- we are not going to go back to -- in that for now.
Cesareo Alierta Izuel: Regarding the second question, I can only reiterate that we have no comment to make on potential situations that may be evolving in the European sector.
Operator: The next question comes from Mr. Peddy from Macquarie.
Guy R. Peddy - Macquarie Research: Just a couple of things. I was just intrigued to know. Are you doing anything different in Germany to what you're doing in the U.K. given there's this noticeable difference in performance? And secondly, in U.K., you talk about usage optimization. Is that something that the consumer is stimulating? Or is it something that you're actively simulating in -- and so that you can actually secure your customer base?
Cesareo Alierta Izuel: Okay, thanks for the question. We know that both markets are different in terms of a significant amount of features. One is on the distribution scheme and so on. But namely, the only -- or the most important differentiating factor that I would point out is that in Germany, for example, here, away from subsidizing handsets for a long, long while. We are financing them through a third party. And therefore, the commercial model is different. Having said that, we have refreshed our tariff in Germany. As well as within -- in the U.K., we have most of the database analysis and general customizing [indiscernible] in terms of our best practices around the world. So we don't see major difference apart from the specific difference of each market. On top of that, taking the out of bundle of the usage strategy in the U.K., we are not necessarily fostering that with customer. Besides -- but we have been refreshing our tariffs and we have been launching a new tariff that includes a much higher degree of SMS, unlimited SMS, unlimited voice and an unlimited amount of data capacity because we wanted to be competitive against the all you can eat data offer from other players. For us, the important message is that thanks to this tariff, we have been able to prove ourselves and the market that you won't need to have an all you can eat data tariff to be competitive in the market if you have the right information about the usage demand, the capacity demand of your customers. And therefore, designing the right strategy and designing the right product attracts the right customers and help us to make a better and most efficient use of our network. So that's a little bit of what I can comment to you.
Operator: The next question comes from Mr. Alanis [ph] From JP Capital [ph]
Unknown Analyst: This is Fabian Alanis from [Indiscernible] in Madrid. I have two questions, please, and the first one is regarding Argentina. Surrounding the situation that happened with Repsol YPF recently, are you in any way, shape or form concerned following the fine that you were imposed or possible worse relationship with the government and any other interference from the Argentine authorities? In particular, how that could concern aspects related to the repatriation of cash and possible treatment of the [indiscernible] in hyperinflation states. And second, regarding Central America, with the launch of the Costa Rican operations, I understand that these are small. I was wondering if you could give us some kind of context for the expectations of what we should look forward to in terms potential size of the market. And would this be a kind of operation similar in size and contribution to, say, Uruguay or something along these lines?
Santiago Fernandez Valbuena: Thank you, Fabian. This is Santiago. First, on Argentina, I think I can go as far saying that not much has changed on the telecom space in Argentina except really nothing has changed on our end. And whatever is happening, the sector is certainly not for us to comment on. On the [indiscernible] fine, we are going through a review of the wording, the exact wording of that number. You may have seen that there are 2 different components. One is the fine itself, which is nearly ARS 6 million, or roughly EUR 1.5 million, the remainder of the full amount being a ARS 10 pro rata per-customer compensation that the regulatory authorities suggest that we do for our customers. Two comments there. One is that the interruption of service is more likely than not going to be proven not to have been a problem of Telefónica but something initiated from without the company. That may have a final effect, and we have -- we are cooperating with authorities on that investigation. And second and most important is that after the 5 to 6 hours service interruption, we immediately reacted, compensating our customers on the prepaid and on the postpaid or contract segments by either eroding that day from the charges, extending the lives of the toll pops [ph] or, in this case, because it was Easter week, giving them for free until that Friday, so an additional 4 days' free SMS and connectivity capabilities. So we think we've done more than what is required to sort out the problem. Second, we're optimistic that the true nature of that interruption is going to be proven not to have originated from Telefónica, and that has an effect. And third, on the compensation, we feel that we have more than done our fair share of the whole thing. On Central America, I think it's useful, though the numbers are small, but it doesn't mean that they're unimportant, Costa Rica, because of its not a start-up nature, is likely contribute negatively for a while yet. And the rest of the region, the 4 major Central American markets, behave in quite different ways. So certainly, we're making progress in some of those, as you may have seen. And the competition, especially on tariffs and new products, is accelerating. And we have the intention of completing the 3G coverage there where we are lagging behind so that we can provide as good a coverage as possible and as competitive a service as any of our competitors can.
Operator: Our last question comes from Mr. Cook [ph] from Insight Investment.
Unknown Analyst: Three questions please. Firstly, so the 3 syndicated loans you raised this quarter, that expire in 2013? And secondly, with regard to the disposals that you've got in progress, do you have interested parties for all of them? And if so, is that how you got to just over EUR 1.5 billion?
Cesareo Alierta Izuel: On of the first question, the syndicated facility, that was refinanced and extended maturities are in 2018 and 2017. Could you please repeat the second question?
Unknown Analyst: So the second question is with regard to the disposal in progress of both Rombo [ph], Atento. Do you have interested parties for each of those disposals? And is that how you got to your estimate of over EUR 1.5 billion?
Cesareo Alierta Izuel: Well, the value that we are estimating is in excess of EUR 1.5 billion. We are not attributing value to specific assets. And we don't want to disclose that the bigger of these transactions in our estimates would be Atento, and that process is progressing very positively.
Operator: At this time, no further questions will be taken. Mr. Ángel Vilá, I'll turn the call back over to you for closing remarks.
Ángel Vilá Boix: Well, ladies and gentlemen, thank you for attending this conference call. I'm looking forward to seeing all of you at the Investor Day of Telefónica Digital that we will hold in July. Thank you.